Operator: Good morning. My name is Katie and I will be your conference operator today. At this time, I would like to welcome everyone to SquareSpace’s Fourth Quarter 2021 Earnings Conference Call. [Operator Instructions] Thank you. Robert Sanders, you may begin your conference.
Robert Sanders: Good morning and thank you for joining us. My name is Robert Sanders, Head of Investor Relations. With me on the call today are Anthony Casalena, Squarespace Founder and CEO and Marcela Martin, our CFO. They will share some opening remarks and then open the call to your questions. Earlier today, we posted a shareholder letter in the Investor Relations section of our website. On today’s call, we will be referencing both GAAP and non-GAAP financial results and operating metrics. You can find additional information on how we calculate these metrics, including a reconciliation of GAAP to non-GAAP measures in today’s press release which can be found in the Investor Relations section of our website. These measures should not be considered in isolation from or a substitute for our GAAP results. We will make forward-looking statements pursuant to the Safe Harbor provisions of the Private Securities and Litigation Reform Act of 1995, which include, but are not limited to, statements related to our future financial performance. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. These risks are further defined in our most recent Form 10-K filed with the Securities and Exchange Commission. Any forward-looking statements that we make on this call are based on assumptions as of this date, March 7, 2022. We undertake no obligation to update these statements as a result of new information or future events, except where required by law. Now, I will turn the call over to Anthony.
Anthony Casalena: Good morning, everyone. Thank you for joining us on the call today. Robert, welcome to Squarespace. Like many of you, we have friends, family, colleagues that are either directly or indirectly touched by the conflict in Ukraine. Our heart goes after them and we hope this conflict ends soon. Squarespace has provided and will continue to provide assistance to our employees and customers in that region. I am proud of what our customers have achieved during recent months, and I’d like to thank our employees whose work enables their success everyday. We have included some highlights from our most recent quarter in our shareholder letter. Our integrated platform is used by millions to establish a world class online presence and our advanced commerce functionalities is enabling our customers to transact online in a myriad of ways. Our everything to sell anything campaign is an embodiment of this mission and we are looking forward to pursuing even further in 2022. I will hand the call to Marcela to take us through guidance.
Marcela Martin: Thank you, Anthony. We are delighted to share results with you this morning that exceeded our guidance for Q4 2021 driven by strong adoption of our commerce plan. Our durable business model is balanced to generate both growth and profitability as witnessed by our outperformance in the fourth quarter. While it’s important to recognize this success, we believe we are still in the early stages of addressing a large and growing global addressable market for our services and our platform has the ability to continue to scale and serve millions of customers. As we look forward to the coming year, I would like to provide you with details on how we built guidance for 2022. For the first quarter of 2022, we expect revenue to be in the range of $203 million to $205 million, representing 13% to 14% growth year-over-year. We project our unlevered free cash flow to be in the range of $39.4 million to $41 million, which implies an unlevered free cash flow margin of 19.7% at the midpoint of the range. For the full year 2022, we expect revenue to be in the range of $862 million to $878 million, representing 11% year-over-year growth at the midpoint of the range. We expect unlevered free cash flow will be between $149.3 million and $165.5 million, representing again a 19.1% margin at the midpoint. When thinking about our guidance, it’s important to remember that we recognized revenue associated with the Tock acquisition beginning in the second quarter of 2021. As a result, our year-over-year growth assumptions in Q1 2022 do not overlap with the Tock acquisition, whereas the remaining quarters of 2022 to anniversary the closing. In 2022, our revenue growth will be driven by a combination of the following: strong adoption of our newer products such as the scheduling member areas and e-mail campaigns, which will continue to grow at higher growth rates compared to website and domain subscription. Strong retention of our existing loyal customer base of 4.1 million unique subscription. We expect unique subscriptions to grow moderately in 2022, mainly due to tough comp versus 2021 and the waning of the positive effects of COVID. And we expect expansion of new revenue lines such as Tock, which continues to grow at higher double-digits. We expect Q2 to be the trough from a revenue growth perspective and revenue to reaccelerate throughout this year and into 2023. Let me walk you now through our operating expenses on a non-GAAP basis and the areas where we plan to deploy our investments. Our gross margin will continue to be strong though recall that our mix is shifting towards commerce revenue, where the transactional portion of that revenue has lower margins than subscription revenue. We believe we can continue to scale our efforts in marketing this fiscal year. Last year, for the first time in the history of the Squarespace, we successfully delivered bespoke marketing campaigns in several countries outside the U.S. As we think about our internal expansions and efforts abroad, we will be mindful of the demand landscape when deploying marketing resources. As a result, we anticipate that marketing and sales expenses will be in the range of 30% to 35% of total revenue on a non-GAAP basis as long as demand remains as expected. This is our plan as we see the market today and we will adjust according to the environment as we move through the year. Turning now to R&D, we expect that continued investment in our platform as we deliver additional services and new features to our customers with an exciting product roadmap. In 2022, we expect R&D expenditures to increase as a percentage of revenue versus 2021 as we continue to invest in initiatives that will drive higher growth in 2023 and on such as investments in payments, bundling, new products and innovation. Specifically, we are heavily investing to the tune of double-digit millions on the top platform and the products we announced during Investor Day as we believe there is an enormous opportunity to continue to grow in the hospitality sector. Therefore, we expect that R&D will be in the range of 25% to 30% of 2022 revenue. With regards to G&A, please note that in 2021, we experienced certain one-time cost associated with our direct listing for around $25 million. In 2022, we anticipate that G&A will represent approximately 11% of revenues. Some of these operating efficiencies are allowing us to give initial unlevered free cash flow margin guidance that is above our 2021 results. In spite of the fact that we are experiencing difficult comparisons in 2022 due to the COVID-related demand environment in 2021, we are very excited and confident about our ability to capitalize on the large market opportunities that we see in front of us. We are confident that we can retain and grow our subscription revenue as evidenced by the 18% increase in annual run-rate revenue and a 9% increase in average revenue per unit subscription or ARPU in 2021. Both of these metrics point to our ability to sell higher value plans and add-on services and the power of our recurring subscription model. In summary, the fundamentals of our business remain strong. We have a long operating history of profitable growth, combined with the large and growing customer base. We believe the introduction of new products, combined with the optimization of existing offerings through packaging and pricing will accelerate our growth as we exit this year and we look to the future. During the last 2 years, we have had a tailwind related to the pandemic. And over those 2 years, we have grown 27% on a compound annual growth basis. Those tailwinds made us even stronger as our customer base has expanded significantly and we continue to serve our customers with tools that help them stay in business through the pandemic. In 2023 and 2024, we expect revenue growth to reaccelerate into the mid to high-teens, crossing the $1 billion mark in revenues in 2023, while still expanding cash flow margins. We are very excited about the growth opportunities over the years ahead given our very strong brand presence, diverse portfolio of products and multiple ways to reach customers who are just getting started, Squarespace has a wide array of opportunities to win. Thank you everyone. And with that, I will hand it back to Anthony.
Anthony Casalena: Thank you, Marcela. To recap, the building blocks of our platform that give us confidence in our outlook for 2022 and beyond include our commerce tools, which are designed not only to help our customers sell physical goods, but also to help them sell time, content, services and more. On mobile, we are providing tools for creators who are inventing new business models and starting out on a diverse array of platforms. Via our Unfold platform, we are providing ways for customers to look good on social, but we are also creating tools like Bio Sites for them to capture and monetize traffic effortlessly. Our international expansion is going great with the support of new languages, the addition of new geographies and the adoption of localized payment methods. We believe there is tremendous opportunity for us to increase our international customer base. We also see significant opportunities in bundling, payments and pricing leverage that can further help us monetize the products that we already have in market across our 4 million plus unique subscriptions. We remain invested in sustainable and profitable growth, which we have been doing since our inception almost two decades ago. We have never had more opportunities to expand our business and serve our customers and I am excited for what 2022 will bring us. Thank you, all. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] We take our first question from Sterling Auty from JPMorgan. Please go ahead, Sterling.
Sterling Auty: Yes, thanks. Hi, guys. So in regards to the modest growth in subscription additions for 2022, which would be down or deceleration versus ‘21, how much of that do you think is just coming from the push from COVID driving existing companies online, so you just have to digest that versus any falloff in new company creation?
Marcela Martin: Hi, Sterling. Thank you for the questions. We believe that there must be some pull forward demand and that, as you mentioned, that we will have to digest. But we are – we have seen also some softness in January and I believe it is a little bit related to new business formation. However, new business formation is just one factor and we have to recognize of that factor. But we have plenty of opportunities to continue to grow through the existing customer base that we have, which is pretty large and we are still at very nascent stages of doing upselling, cross-selling, bundling. Like if you look at the growth that we have had in ARPUs on a total basis in 2021, it has been 9% if you take out the impact of organic – excuse me, of inorganic growth through Tock, it’s about 6%. And that growth was done with their bonds of initiatives related to bundles or further selling other products that haven’t worked so nicely for us like scheduling and member areas. And that has put us actually in a very good and in a leading position on servicing time slotted businesses.
Sterling Auty: Thanks. That makes sense. And then one follow-up. Anthony...
Anthony Casalena: The only one thing I would add to Marcela’s point is that when you look at the raw number of unique subscriptions on the platform, these are really diverse subscriptions. I mean, a domain subscription, a website subscription and Unfold subscription are all – have really different properties and different kinds of seasonality to them. And I’d just like to underscore that while the small business formation is the factor, it really isn’t the only factor that we see there, especially when you think of – when we talk about creators and them coming online, they are not going to be really represented properly in that small business formation number, because it’s just – it’s going to be – that’s going to be a real lagging indicator. What was the second – sorry, I interrupted you, what was you going to ask?
Sterling Auty: No, that’s okay. Last quarter, Anthony, you had talked about that you were going to revisit the payments business, and I think would probably the eye towards deciding whether to change the structure, maybe become more of a payment facilitator instead of an ISO, was there a conclusion to that process?
Anthony Casalena: Yes. So we are going to be pursuing payments, and we’re expecting to see that kind of enter the market in 2023. When we pull our customers because we – obviously, what you’re referencing is, we had a deal with Stripe for a long time where we’re able to capture a portion of our – we’re able to capture profit off the GMV that’s flowing through the platform. And that deal was appropriate for us for a long time when we were smaller, when GMV was smaller, etcetera, etcetera. When we talk to our customers now, they – we think they would get a lot of value from seeing everything in one place, and they don’t have a particular affinity towards any payment infrastructure provider in the space. And so when we ask them about, hey, would you want to use Squarespace payments, they are pretty enthusiastic about saying, yes, we would, and we really appreciate everything being in one place. So we think that will be a better customer experience for us as evidenced by the fact that they are asking for it. And also, it will give us a little bit better economics as we move forward to that deal. So it’s absolutely – it’s being worked on. It’s something we expect to see around 2023 in the early part. And yes, it will be another great driver for our business.
Marcela Martin: Yes. It’s something we are very excited. We have been working on that for a while and because it also gives us an opportunity to launch a whole array of different products on financial services, which could serve really well for the type of customers that we have in our customer base.
Sterling Auty: Understood. Thank you.
Operator: The next question comes from Trevor Young from Barclays. Please go ahead.
Trevor Young: Great. Thanks. Two, if I may. Just first on the 1Q revenue guide of $205 million at the high end. That implies a modest sequential downtick whereas historically, at least the last few years, I think you’ve seen call it, like 3% to 4% sequential growth. Can you help us understand what’s driving that softer sequential trend? I think, Marcela, you maybe mentioned some softness in January, any color on that and the cadence now in February as well? And then on the full year revenue guide, you gave some good color on how you expect the trough in 2Q and then a reacceleration, what informs that confidence in seeing the revenue growth reaccelerate? Is it just a matter of lapping easier compares? Or is it an expectation that your efforts to lean in on marketing begin to bear fruit? Just any color there would be appreciated.
Marcela Martin: Thank you, Trevor, for the question. So we have reflected in Q1 where what we have seen so far in the market, we are very excited about the fact that once we are passing on this quarter and the next quarter, I believe that the comparisons are going to get a little bit better. There is some pull forward that I mentioned earlier. And so we have taken a moderate approach on how we think that Q1 is going to play. With regards to the rest of the year, we have been working on some initiatives related to bundles, and we believe that we are going to be able to serve our customers in a much more simplistic way when they have to make choices on the products that they want to – they want to use from Squarespace. So we have – we are pretty confident about the fact that after we pass Q2, that revenue will get back to accelerate. And even further on, we believe in 2023 and 2024 with the initiatives that we have in place like we have mentioned earlier on payments. And as a reminder, we – the vast majority of the revenues that flow through our platforms are Squarespace and Tock is booked on a net basis, not on a gross basis. And so as we launch payments, we continue to deliver on bundles and new products and innovation, we feel pretty strongly. I’m pretty confident about the growth that we will continue to see later in the year.
Anthony Casalena: Yes. Just to underscore two points there. One is building what Marcela has mentioned regarding bundling. We have a lot of different products that we’ve launched over the past couple of years, and I think that we may be under-optimized in how we’re delivering those to customers. So we talk about members talk about e-mail campaigns. These are all set in the platform. And I think we just have a real opportunity to simplify this in the minds of consumers and to create a really powerful single subscription that I think would really set us apart. The other thing to mention regarding the later half of the year is just the leverage we have in pricing. We’ve mentioned on prior calls that we’ve never increased pricing for our existing cohorts. I think we have an opportunity there with a modest price increase to really see a pretty profound result actually. And also, I think as we move into the later half of the year, while you do see – we have some different revenue lines where maybe we’re seeing less growth on a year-over-year basis on websites and domains. But that – the COVID situation, the Omicron situation also really negatively impacted our businesses like tax. So as we move throughout the rest of the year, we expect those to really [Technical Difficulty] year-over-year in 2021, which is a huge opportunity for us as we think about monetizing that traffic and also thinking about what those dynamics and that traffic to explore top line in when we launch consumer marketplaces and things like that. So, I think it’s important to think that we are not relying on my magic marketing or something to call it that reacceleration that we expect to see.
Trevor Young: Great. Thank you, both.
Operator: The next question comes from Clarke Jeffries from Piper Sandler. Please go ahead, Clarke.
Clarke Jeffries: Hello. Thank you for taking the question. First one, I was curious maybe if you could share what the cash retention rate was during 2021 or any kind of sense on what you are seeing in terms of retention of the cohorts that signed up with the business during the first four quarters plus pandemic? I think trying to right size, how much of tough comparison is on a overall new business funnel or on sort of a net basis of retention?
Marcela Martin: Thank you for the question Clarke. So what we have seen is that subscription – cash retention has been very strong in 2021 and better than 2020. And this was a mainly driven by a strong cash retention that we having in present. And also favorable FX rate. But even if you look at constant FX rate cash retention, so if you exclude that impact, we are – we have seen in 2021 overall cask retention better than what it was in 2020. We also have observed the cash, retention for 1-year cohorts like the 2020 cohorts, which – and we compare that to the 1-yaer cash retention that we have seen in 2029. Both – sorry, 2019, not 2029. And they are both inline. So we are very excited, because as I keep mentioning, I think COVID made us even stronger because we have been able to grow our customer base, the stickiness is there. We don’t see churn. Cash retention is better than what we see – we saw in prior years, and we have a lot of opportunities to continue to grow the ARPUs within the customer base that we currently have.
Clarke Jeffries: Alright. Thank you for the color. Maybe another follow-up and more of a strategic question, are you outlining some of these growth levers in the business for 2022 and beyond one of them that stands out to me is really an entry into the enterprise space, it being only 5% of bookings today. Just curious on what are the strategies you want to pursue specifically next year to maybe get more involved with larger companies and what are the points of differentiation that you really want to emphasize when entering that segment of the business?
Anthony Casalena: The enterprise segment is interesting to us, because again it encompasses a couple of sort of very different things. On the Squarespace side, well so if you look at the product lines, you have got enterprise in presence and that is mostly one of two things. One, larger contracts with particular large companies like Nike marketing team might want to use Squarespace and we need single sign-on, volume customers. So that’s us identifying people who build hundreds of sites on Squarespace and making sure that they are well serviced and they have got the right controls and a good contract in place. On the scheduling side of things, we’re – once you cross a certain volume size of appointments, we kind of congratulate you into an enterprise space. And then within Tock, a lot of the businesses kind of can be classified as enterprise in the sense that they have got a sales team that reaches out and convert customers onto that platform. It’s a little less – so it’s interesting because with the top, you can identify the targets, right? It’s like, okay, that’s the rough they should be using the hospital because that’s a wider and the shoes in to. In the former, in the presence category, it’s a little hard – so we can go into our customer database and say, hey, look, we see all these e-mail addresses using Squarespace from, picking, it’s an arbitrary example. Maybe we should be targeted, maybe we should – maybe they need something more for us. And so we’re going to be more proactive about really digging into who’s using the platform to find those end customers. And then similarly with volume, we can really go on and find people who are doing this on the platform and really handhold them on to what we’re doing. So we are targeting all of that. Again, the enterprise business is very, very small for Squarespace overall, but we think it has big potential. So that’s why we keep investing in it. And it’s just a natural extension for us to be servicing these larger customers who frankly in a lot of cases, already using Squarespace.
Clarke Jeffries: Appreciate the color. Thank you.
Operator: Our next question comes from Siti Panigrahi from Mizuho. Please go ahead.
Siti Panigrahi: Thanks for taking my question. Two questions, if I may be. First on, Marcela, what was the organic growth in 2021, May be Tock, any color on the organic growth?
Marcela Martin: Yes, sure. I mean, for 2021, we have grown overall 26%. And out of that 22% is organic. And if you look at – sorry, Q4, it – for the quarter, we grew 20% and approximately 15%, 16% is organic Siti just for Q4.
Siti Panigrahi: Okay. Thanks for that color. And then I mean, you guys launched a big campaign last year, September and then also revamped your products, features and added a lot of new features there, and then everything to sell anything that as well. But despite that, this is quite a deceleration, like 10% to 12% guidance 2022. I’m wondering how effective was that campaign? What makes you more confident about 2023 and beyond, besides that payment, how you’re going to recognize revenue?
Anthony Casalena: So I’m really happy with that campaign because I think it embodies everything that we’ve been talking about on these calls regarding just the ways we help people run their businesses online. I mean, I think we’re, of course, well known for present. But what we’ve launched really how people go beyond that. And to your question around what gives us confidence about the year? Look, I mean, we’re lapping a really serious couple of quarters. The effects of that are – most participating on certain parts of the business. And other parts of our business like Tock have not fully come out of COVID. And so we’re sort of – have a positive view towards that later in the year. But like I was mentioning on the other – on the other question, the reacceleration I am looking to is not based on, like, I call it like magic marketing moments. It’s pricing leverage, it’s bundling, it’s – which is basically just us getting more value out of the products we frankly already launched. It’s the payments business happening later on and just the continued demand for what we do. But below the surface, the businesses have very different dynamics. Again, we’ve mentioned Tock being unfavorably treated by Omicron, but the scheduling business remains very, very strong. And so all of that leads us to be frankly quite confident in how things look in the future. Look, it’s an unprecedented time, lasting these couple of quarters just – I mean, it’s pretty well so.
Siti Panigrahi: Thank you.
Operator: We have a question from Ken Wong from Guggenheim Securities. Please go ahead.
Ken Wong: Great. Thank you for taking my question. I wanted to build on Siti’s question just now. When thinking about that reacceleration in fiscal ‘23, ‘24, you also mentioned that are making that change in payments. That usually comes with a gross represent of a net rev rec. Should we be thinking about that reacceleration happening on an apples-to-apples basis as well when we look at your business or purely as a byproduct of that accounting change?
Anthony Casalena: Apples-to-apples...
Marcela Martin: No, it’s not – no, the growth that we are expecting in 2023 and 2024, that’s not purely related to change in accounting recognition, no...
Anthony Casalena: When you move into ‘23, the adoption of that payments platform will remain small initially, right? And so I won’t immediately have a huge top line impact even though that’s changed. I’m talking about an apples-to-apples us using our pricing leverage in reducing bundling and introducing new products is what I’m counting on to drive that change.
Marcela Martin: Yes. We are investing, as we mentioned earlier, in some products, not only on the team that is currently working on the Squarespace products, but the teams that are doing amazing work on Tock. And we see a great deal of opportunities there for us with the investments that we are doing on those products to continue to grow on the hospitality sector. So, we do that – yes.
Ken Wong: Really appreciate the clarity. I think that does make a big difference for folks. And then second, just I think earlier you mentioned you guys expect Tock to grow double digits in ‘22. Also, is that a kind of a compared versus the three quarters of Tock that were in results or relative to the roughly $33 million kind of if there was an all-in Tock year type of a dynamic?
Marcela Martin: The latter and we expect to continue to grow in double digits going forward in 2022, 2023 and on.
Anthony Casalena: Yes. And I think within there, I will just quickly highlight a couple of things. Again, Tock was adversely impacted by Omicron. And we are seeing that dynamic change. But we are reducing changes to booking fees to help monetize those diners, which again increased 250% year-over-year. We are thinking about events self-service on-boarding, further kind of strengthened by the integration with Squarespace and then consumer marketplaces to take another angle at revenue, it just doesn’t even exist right now. So, we have a lot of things happening over there as well as a lot of things happening in the presence business, the scheduling business. Yes, so we remain really positive on kind of being in a “more normal year” and seeing how that business operates.
Marcela Martin: We serve millions and millions on diners in Tock, and we are very excited with the products that are coming away so that we can continue to grow that business, which is growing really nicely for us.
Ken Wong: Got it. Great. Thank you very much.
Operator: Our next question comes from Matt Pfau from William Blair. Please go ahead.
Matt Pfau: Hey, great. Thanks guys for taking my questions. I wanted to first ask on the scheduling solution. I think you called out in the shareholder letter that, that was the biggest contributor of organic growth. Maybe just sort of unpack what you are seeing with that product and what’s driving the strength there?
Marcela Martin: I can talk – you can talk about the products [indiscernible], but it’s just to clarify, I think that what we meant to say is that scheduling is the biggest driver of the organic growth that we saw in average revenue per unique subscription. And…
Anthony Casalena: I mean as we – and as we move forward with the scheduling product, I think one of the things that we are excited about is actually that a lot of volume, a lot of the payments volume, a lot of the transacting that occurs around the appointment is currently happening off platform for Squarespace. So, as we introduce things like invoicing and other features into that platform to kind of make it a more holistic experience for the users, we are going to actually be able to generate even more payment volume through that platform as well as reduce the need to look at external tools. So, a lot of that’s going to happen this year. We are really excited by it, and it’s actually some really big opportunity out there.
Matt Pfau: Great. And then as you think about investing outside of North America and the new geographies for 2022, any specific areas that you would call out and besides marketing campaigns, any other additional changes that need to be made from a platform perspective?
Anthony Casalena: Well, the targets are similar to what they were last quarter in the sense that it’s English speaking non-U.S., and then France, Germany those sorts of regions. The only product changes – well, I mean what we have done differently is one, localized campaigns and then two, payment methods. And so things like SEPA being introduced to the platform should hopefully improve our ability to convert in those markets.
Matt Pfau: Great. Thanks guys.
Operator: Our next question is from Josh Beck from KeyBanc. Please go ahead.
Josh Beck: Hi there. Thank you for taking the question. I wanted to ask just a little bit about the return on marketing efficiency that you have seen. Could you maybe characterize what channels are productive for you and how you are approaching that as we go into ‘22?
Anthony Casalena: So, we have kept marketing spend on a year-over-year basis, basically flat. And what we are looking at there is just trying to make sure that we are teasing out what was happening during COVID and what groups are we getting from that, and what boosts are we really getting from driving our internal results. As you know from previous calls, we have a mix between direct response and brand advertising. The brand advertising component is, of course, important to us because we need to be top of mind when people want to come and create website or differentiated from sell from social. So, we always balance those two things. But we have taken a modest approach to the increase this year as we really just want to always keep an eye on the balance within the business. Squarespace has always been about sustainable growth with positive cash flow margins. And so we want to – we just want to make sure we are in that, we are doing a good job there. And so it’s – we are reducing brand a little bit while keeping DR high and thinking about how we are deploying those dollars internationally. So, that’s kind of what you might want to think about regarding that.
Josh Beck: Very helpful. And maybe a follow-up on just how to think about subscription for the year? It sounds like with a bit of a low start, and obviously, we have Q1 guidance that really a lot of the growth, perhaps more so from the commerce side. So, as we start to model out the back year, should we think about trying to incorporate more of an ARPU lift on the subscription side, really some of the bundling changes, or should we hold off on that? Any other guidance just on how to think about subscription and how to model that direct year would be appreciated?
Marcela Martin: Yes. Thank you, Josh. Yes. I think you are on the right path on your thinking on how to model, or how to think about where the revenue growth is going to come later on and our excitement around how it’s going to reaccelerate later in 2022 and getting into 2023 and 2024 and on.
Josh Beck: Okay. Thanks a lot. Thank you both.
Operator: The next question comes from Aaron Kessler from Raymond James. Please go ahead.
Aaron Kessler: Great. And I have a couple of questions. Can you talk a little bit about just the gross sub growth that you were seeing in ‘21, maybe the expectation for ‘22 kind of versus net. It sounds like some of the companies with the – and maybe also talk about the 20 – maybe mid-‘20 cohort and kind of into early ‘21 cohort and the retention you are seeing there? And just any thoughts on kind of international trend you are seeing as well? Thank you.
Marcela Martin: Yes, sure. I mean I was talking a little bit earlier about how we see our cash retention, which has been – has overall on a year-to-date basis and been subscriptions, it has performed better than previous year – previous years. And what I also mentioned earlier is that we have not seen any change in churn. Churn actually in 2020 was a little bit higher at the very beginning. And then it went away. But in 2021, our cash retention is pretty similar to what we have seen previously in 2019, and we looked at the 2020 cohorts, and we see that those are performing in line with 2019. So overall, we are very happy with what we see, the stickiness that we see on our platform and how the whole array of products that we launch in between 2019 and 2019, how they are paying off. We see really amazing and great growth in products like e-mail campaigns, member areas scheduling which I believe it has put us in a position as a leader in services in the market.
Aaron Kessler: Got it. And anything you can speak just international trends and maybe opportunities you see internationally in ‘22 as well?
Anthony Casalena: I think that we are building on our existing base and our existing investment. As you know, it’s like when you go into one of these markets initially, some have been easier for us because some of our ad spend like in podcasting is kind of global by nature. People are listening to the same podcasts in the UK as they are in the U.S. in many instances. And then that becomes harder to go into non-English speaking, where you don’t get that kind of organic halo from the U.S. based activities. So, continuing to pursue local efforts across the markets you already kind of know us in is what we are doing.
Marcela Martin: Yes. And of course, with the recent events, we have taken a conservative approach with regards to the growth. But we are – we have a platform, the Squarespace platform is a very modern platform where we can continue to expand in languages above and beyond the ones that we have. And so we have a great deal of opportunities to continue to expand in other areas besides cereals, like Asia or Latin America as well. But obviously, with the recent events in Europe, I mean we are – we remain cautious about the growth with coming from that particular area.
Aaron Kessler: Great. Thank you.
Operator: Our next question is from Brad Erickson from RBC Capital Markets. Please go ahead.
Brad Erickson: Thanks. First, I guess just on the free cash flow guidance here for ‘22. I guess it looks like it’s bumping up fairly close to the long-term targets you gave at the end of last year. And so I guess, Marcela you mentioned the further expansion, I believe to free cash flow in ‘23 and ‘24. So, curious if you just want to maybe update anything relative to that long-term target model today? And then I have a follow-up.
Marcela Martin: Yes. I mean look, we feel – the way that we look at our business, it’s credit space, I always say it’s a cash machine. We have an amazing profile. And historically, and we have always tried to be very dedicated about the investments that we do, and we aim to continue to make investments that are going to drive returns. So, if we wanted to – if we suddenly see that perhaps growth that is not there, we can easily pull levers to continue to increase margins. But what we see at the moment in 2023 and 2024 and on, that we see an opportunity to continue to expand the revenue base, we see we can continue to grow. And that’s why we are investing and investing heavily in some areas, more perhaps than others as we see opportunities there. So, I don’t see a reason why unlevered free cash flow margins could not expand even further than what we see this current year.
Anthony Casalena: Yes. I mean, just to reiterate what Marcela was saying, I mean Squarespace is almost two decades old now and it’s always been about sustainable growth. So, we were operating cash flow at breakeven for 14 years, 15 years, and then flipped over to profitability a few years ago. And when we talk about the free cash flow margin in the low-20s to mid-20s again, if we for some reason thought, which we don’t, that we are more limited in how we can grow, I mean the cash generation of Squarespace is unbelievable. I mean we could flip to our loan turn target within a quarter or two quarters if we wanted to be very aggressive about hiring, marketing and all that stuff, but that would just cut off our long-term potential. I think what we are seeing within the campaigns within Everything to Sell Anything campaign, I just think that’s a really strong message in a really strong position. And I think we would be silly to not invest in it. We are just – we are really well positioned to capture a lot of these people are transacting, and we have. And that’s why we are showing what we are showing with regards to some of our businesses related to commerce revenue.
Brad Erickson: Yes. Got it. That’s great. And then second…
Anthony Casalena: And the only thing I will keep in mind, just regarding cash generation in the future, we have so much coming from existing cohorts that have very, very stable churn properties, right. So stable – they are kind of changing out of the pandemic. And as Marcela has also mentioned, positive cash retention properties. So, like – that stuff just kind of is there. It continues. And so it’s not dependent upon whatever we are doing in any given quarter to add whatever or add some net new subscribers or push GMV through the platform right now. So, it just seems a very stable quarter.
Marcela Martin: Yes. And I think the beauty of Squarespace is that there are so many different levers to pull that this is still in so many ways, a business that is in very nascent stations – stages of growth in many areas international enterprise, commerce offering. So, we are quite excited about the future.
Brad Erickson: Got it. And then second and I know this is a little bit of a difficult question asked just around Russia, Ukraine. But we are seeing companies in adjacent markets here halting operations, change in guidance in some cases here this morning. Maybe if you could just give a quick attribution on those markets and then obviously, Anthony, your general philosophy around the continuity of operations in that part of the world? Thanks.
Anthony Casalena: Yes, sure. Obviously, a terrible, terrible situation. For us, we do not have major customer bases in either Ukraine or Russia. We do have – and from an employee base perspective, we had a couple of contractors in Ukraine not very many at all, but we are immediately helping them relocate actually our IROs office and doing what we can there. And to any Ukrainian customers, we are providing credits for hardship and things like that. So, that’s I don’t – I hope we don’t see much more of a disruption from that, but we have pretty limited exposure there.
Brad Erickson: Yes. It sounds clear. Thank you.
Anthony Casalena: Okay. Operator, are there any more questions in the queue?
Operator: That concludes our Q&A session for today.
Anthony Casalena: Okay. Thank you all for the thoughtful questions and for joining us today. Looking forward to 2022 and everything we are going to be able to do. So, thank you.
Marcela Martin: Thanks.
Operator: Thank you all for joining. This now concludes today’s call. Please disconnect your lines.